Operator: Good morning, ladies and gentlemen, and welcome to the MI Homes, Inc. First Quarter Earnings Conference Call. 
 [Operator Instructions]  
 Following the presentation, we'll conduct a question-and-answer session. This call is being recorded on Monday, April 24, 2024. I would now like to turn the conference over to Phil Creek. Please go ahead. 
Phillip Creek: Thank you. Joining me on our call today is Bob Schottenstein, our CEO and President; and Derek Klutch, President of our mortgage company. First, to address regulation for disclosure. We encourage you to ask any questions regarding issues that you consider material during this call because we are prohibited from discussing significant nonpublic items with you directly.  
 And as to forward-looking statements, want to remind everyone that the cautionary language about forward-looking statements contained in today's press release also applies to any comments made during this call. Also be advised that the company undertakes no obligation to update any forward-looking statements made during this call. With that, I'll turn it over to Bob. 
Robert Schottenstein: Thanks, Phil. Good morning, and thank you all for joining us today. We had an exceptional first quarter, one of the best quarters in company history, setting first quarter records in homes delivered, revenue and income. Homes delivered increased 8% to a record 2,158 homes. Revenue increased 5% to a record $1.05 billion and pretax income increased by 33% to a first quarter record of $180.2 million, equating to 17.2% of revenue.  
 Gross margins for the quarter were very strong, coming in at 27%, 360 basis points better than a year ago and up 200 basis points sequentially. And return on equity equal 21%.
 Despite a volatile interest rate environment and continued macroeconomic uncertainties, we were very pleased with our new contracts. For the quarter, new contracts increased by 17%, owing to the strength of our communities and product offerings and very solid across-the-board execution on the sales front. During the quarter, we were operating on average and 10% more communities than a year ago.  
 We continue to benefit from strong housing fundamentals, including an undersupply of homes and low inventory levels in most markets. We have seen a slight uptick in used home listings in certain markets, particularly Florida. However, the use of below-market financing incentives were necessary in select markets and targeted communities has been and continues to be an important driver of our business. Our Smart Series homes, which is our most affordable line of homes, continues to be a meaningful contributor to our sales and operating performance.  
 Smart Series sales accounted for 52% of total company sales. This is roughly equal to what it was a year ago. As we enter the second quarter, we are on track to open a number of new communities, increasing our average community count by roughly 10% over 2023. And the quality of our buyers in terms of creditworthiness continues to be very solid with average credit scores of 747 and an average down payment of 18%, which is about $85,000. We have made significant progress in improving our cycle time. Many of our markets are now operating at pre-Covid cycle time levels, and we continue to be focused on this important operating imperative.  
 From a balance sheet standpoint, we ended the quarter in excellent shape, the best in company history. Shareholders' equity reached a record $2.6 billion, a 21% increase from a year ago, and that equates to a book value of $95 a share. Our cash balance at quarter's end equaled $870 million. We had zero borrowings under our $650 million unsecured credit facility and a debt-to-capital ratio of 21%, down from 24% a year ago, as well as a net debt-to-capital ratio of negative 7%.  
 Now I will provide some additional comments on our markets. Our division income contributions in the first quarter were led by Dallas, Orlando, Columbus, Raleigh, Tampa and Chicago. New contracts for the first quarter in the Northern region increased by 40%. New contracts in our Southern region increased by 3%. Our deliveries in the Southern region increased by 9% from a year ago. Our deliveries in the Northern region increased by 6%. 61% of our closings came out of the Southern region, 39% out of the Northern region.  
 Our owned and controlled lot position in the Southern region increased by 21% compared to a year ago and increased by 9% in the Northern region. 34% of our owned and controlled lots are in the Northern region, the other 66% in the Southern region. We have an excellent land position. Company-wide, we own approximately 24,000 single-family lots, which is roughly a 3-year supply. And on top of that, we control via option contracts an additional 23,000 lots, thus owning and controlling about a 5-year supply.  
 As I conclude, let me just state that we are in the best financial condition in our history. We feel very good about our business. We have a lot of operating momentum and we continue to be focused on gaining market share, growing our business by approximately 5% to 10% per year. MI Homes is well positioned to have another year of very strong results in 2024. With that, I'll turn it over to Phil. 
Phillip Creek: Thanks, Bob. Our new contracts were up 21% in January, up 14% in February and up 17% in March. And our cancellation rate for the quarter was 8%. 51% of our first quarter sales were the first-time buyers, and 57% were inventory homes. Our community count was 219 at the end of the first quarter, compared to 200 a year ago, and the breakdown by region is 101 in the northern region and 118 in the Southern region.  
 During the quarter, we opened 21 new communities while closing 15. We currently estimate that our average 2024 community count will be about 10% higher than 2023. We delivered 2,158 homes in the first quarter, delivering 72% of our backlog. And at March 31, we had 4,500 homes in the field versus 4,300 homes in the field a year ago, up 6%. Revenue increased 5% in the first quarter. Our average closing price for the first quarter was $471,000, a 3% decrease when compared to last year's first quarter average closing price of $486,000. Backlog average sale price is $528,000, up from $522,000 a year ago. Our first quarter gross margin was 27.1%, up 360 basis points year-over-year and up 200 basis points from our fourth quarter. And our construction costs were flat in the first quarter compared to last year's fourth quarter.  
 Our first quarter SG&A expenses were 10.5% of revenue compared to 10.0% a year ago. Our first quarter expenses increased 10% versus a year ago. Increased costs were due to our increased community count, higher selling expenses, and increased headcount and incentive compensation. Interest income, net of interest expense for the quarter was $6.9 million, and our interest incurred was $8.7 million.
 We are very pleased with our returns for the first quarter. Our pretax income was 17% and our return on equity was 21%. During the quarter, we generated $187 million of EBITDA compared to $147 million in last year's first quarter. And our effective tax rate was 23% in the first quarter compared to 24% in last year's first quarter. Earnings per diluted share for the quarter increased to a first quarter record $4.78 per share from $3.64 per share last year, up 31%, and our book value per share is now $95, a $16 per share increase from a year ago.  
 Now Derek Klutch will address our mortgage company results. 
Derek Klutch: Thanks, Phil. Our mortgage and title operations achieved pretax income of $12.3 million, down slightly from $12.6 million in 2023's first quarter. Revenue increased 7% from last year to $27 million due to higher margins on loans sold and increase in loans originated and proceeds from the sale of mortgage servicing rights. This was partially offset by a lower average loan amount.  
 Average loan to value on our first mortgages for the quarter was 82%,  a decrease compared to 83% last year. We continue to see an increase in the use of government financing, as 68% of the loans closed in the quarter were conventional, and 32% FHA or VA. Compared to 81% and 19%, respectively, for 2023's first quarter. Our average mortgage amount decreased to $386,000 in 2024's first quarter compared to $393,000 last year. Loans originated increased to 1,556, which was up 24% from last year, while the volume of loans sold increased by 5%.  
 As mentioned, our borrower profile remained solid with an average down payment of over 18% and an average credit score of 747. Finally, our mortgage operation captured 88% of our business in the first quarter, a significant improvement from 78% last year. Now I'll turn the call back over to Phil. 
Phillip Creek: Thanks, Derek. As far as the balance sheet, we ended the first quarter with a cash balance of $870 million and no borrowings under our unsecured revolving credit facility. We have one of the lowest debt levels of the public homebuilders and are well positioned with our maturities.  
 Our bank line matures in late 2026 and our public debt matures in 2028 and 2030 and has interest rates below 5%. Our unsold land investment at the end of the quarter is $1.4 billion, compared to $1.3 billion a year ago. And on March 31, we had $752 million of raw land and land under development and $668 million of finished unsold lots. During the first quarter, we spent $108 million on land purchases, and $119 million on land development for a total land spend of $227 million.  
 At March 31, we owned 24,000 lots and controlled 47,000 lots. At the end of the quarter, we had 431 completed inventory homes and 1,896 total inventory homes. And of the total inventory, 850 were in the Northern region and 1,046 are in the Southern region. Last year, we had 432 completed inventory homes and 1,551 total inventory homes. We spent $25 million in the first quarter repurchasing our stock, and have $103 million remaining under our current board authorization. And since the start of 2022, we have repurchased 10% of our outstanding shares.  
 This completes our presentation. We'll now open the call for any questions or comments. 
Operator: Thank you. [Operator Instructions] Your first question comes from Alan Ratner from Zelman & Associates. 
Alan Ratner: Congrats on the really strong quarter. Bob, my first question, I guess, just -- you gave the monthly order growth rates, which is helpful. Rates did pick up towards the tail end of the quarter and thus far into April. Just curious if you've seen any impact either on traffic sales, any kind of price point differentiation with rates climbing more recently? And what are your current incentives that you're offering on the rate buy downs to come back that? 
Robert Schottenstein: Yes. Great question. Frankly, very similar to what I believe [indiscernible] articulated yesterday, in the last week or so, we have seen a slight moderation in activity and in traffic. And in some ways, it's too early to know how significant it is. But I would say that what we've seen is almost identical, candidly to what they've seen. And my guess is other builders are seeing it, too.  
 Clearly, there's been even more than before volatility in rates, as you know, as well as anyone. Look, we have been very targeted and very focused. Not in every -- not every community is the same, not every market is the same. But where necessary, we will continue to be as aggressive as we have been in using financing incentives. It's pretty safe to say that the ability to provide below-market financing rates aren't always the same. It depends on the market, depends on the community. Some need more help than others. Every community is a little bit different.  
 And frankly, we don't manage -- it's not like spread and peanut butter. We try to be very, very targeted and focused. And I think that's one of the reasons our margins have held up so well. There are certain communities where you just don't need to do as much as you need to do in others. And I can't emphasize enough, as long as I've been in this business, I've been -- it's been beaten into me that this is a subdivision specific business and every store, every community, every subdivision is a little bit different. It's not like we have 200 different variations, but we have to be very market aware and how we deal with it.  
 We will continue to operate that way. Might we have to do a little bit more, possibly. If we do, we will. Very pleased with our margins. We're very frank about this when we discuss it with you. I know we don't guide on margins, and you know that as well. You never failed to mention that, and I understand. But we went into this year believing margins would be under more pressure than they have been. Our margins have held up better than expected. I think we've got a lot of really strong communities.  
 Our new communities are operating at better than we pro forma-ed them at so far. So I guess the answer is, yes, there has been a slight moderation in activity recently. Although it started about 2 weeks ago, last week, traffic was a little better than the week before, particularly website. It's hard to draw too much of a conclusion from 7 or 8 days. But we're going to do what we need to do. And in some markets, we're offering mortgages as low as 5, 7, 8s and others were in the low 6s. And in some markets, the rates differ from community to community.  
 So I don't know if that really helps, but I think that, that's where we are. And I remain -- we remain generally quite optimistic about housing. I know that resale listings have moved up, not in all, but in a number of markets, particularly Tampa and Orlando. And that's probably having a little bit of an impact, combined with rates. But when you look at historical levels, I think that the fundamentals still point in the right direction. And we're focused on growing the business by 5% to 10%. I think it will be closer to 10% than 5%, but we'll see. And we believe we can continue to do that.  
 Our land position, we own slightly less than a 3-year supply. We own and control about a 5-year supply. We haven't changed our land strategy in 20 years. And we're not land light where we once weren't. We're not land heavy where we once weren't. We've been pretty consistent on that. And as you know, 99% of our business is to consumers. What we report does not have anything material with regard to build for rent, or wholesale or bulk sales to renter operators. That business can be hot when it's hot, and not when it's not.  
 And maybe we should have been in it when we weren't, but we've never really had that as a big operating strategy. And we like sort of staying true to our core operating principles. That's a long answer to your question, but I wanted to cover a bunch of different things. 
Alan Ratner: No, that's really helpful, Bob. And Barry, I really appreciate you walking us through that. Second, very helpful, the 5% to 10% kind of goal or target for growth. Last year, the seasonality of your closings was a little bit unusual just based on kind of the where you had homes under construction in the field. Fourth quarter was a lower closing quarter. And this quarter, you were up sequentially, which is also pretty unusual for 1Q.  
 So can you -- without giving specific guidance, can you maybe just kind of walk us through the year, how you expect the closing cadence to unfold? Is it going to be fairly even flow like similar to last year? Or should we expect a return to more typical seasonality? 
Robert Schottenstein: Phil will answer that. 
Phillip Creek: Yes. And this is Phil. We did disclose as far as houses in the field at the end of the first quarter, we had 4,500 homes in the field versus 4,300 in the field last year. Like you say, last year was kind of opposite with the end of '22 sales being so weak and so forth. So our expectation overall is, as Bob said, trying to grow the business 5% to 10% a year.  
 We would expect closings to be somewhat flat, maybe go up a little bit more towards the second half. We are doing 50% to 60% specs and have for a while. We think that in today's market environment for a lot of different reasons, that's kind of the best place to be. Tend to have a few more specs in the attached townhouse communities in the smaller smart series, more affordable side of it. So I would expect closings to be kind of similar in the second quarter as the first and then maybe go up a little bit in the second half.  
 Our run rate, again, hopefully, will be 5% to 10% up on an annual basis for the next year or 2, is kind of what we're targeting. We definitely have the land in Nashville. We just opened our third community there. So we're starting to sell and close houses at a better rate there. And then our other new market, Fort Myers, Naples, it's similar. They have a couple of stores open that's also going to give us some growth. So overall, we feel really good about how the business [indiscernible]. 
Alan Ratner: That's certainly helpful for our modeling. If I could squeeze in one last one, and then I'll move it on. I was a little surprised to see your FHA share up so much year-over-year going from 19 to 32 because it seems like your first-time buyer share has been holding pretty steady. Any particular reason why you've seen that kind of mix shift in the mortgage products? 
Robert Schottenstein: I was a little surprised, too. Derek is going to try to provide more color on that. 
Derek Klutch: Yes, Alan, we looked into that because it was surprising. And I think what we're seeing with interest rates going up, our price points still fit into the FHA loan limits. And the buyers are choosing to put a lower down payment down and use the other money either to buy down the rate, the sales a little bit more or to pay off some debt. to be able to qualify. 
Robert Schottenstein: I think last year at this time, our average down payment was closer to 20% than 18%, might have been 19% and change. I can't remember exactly. So it has -- we still have a very high-quality buyer, putting roughly $85,000 down on average. But I was surprised the down payment didn't come down a little bit more given the FHA and maybe that hasn't just worked its way through the system yet. I'm not sure. But I hope that answers your question. 
Alan Ratner: Yes, appreciate that. 
Robert Schottenstein: We also -- Bill mentioned townhomes. We continue, like I suspect, probably most in the industry, affordability is a gigantic challenge for the country and for builders. We all like to have more affordable high-margin product. That's hard to do. What's helping us a little bit on that front -- is we continue to be doing more and more attached product, whereas it was less than probably 10% of our business 3 years ago. 
 Today, it's probably pushing 15%, 16%, 17% of our business and likely will level out at somewhere between 15% and 20%. So that's -- that's -- and I think a lot of that's incremental business. So we're excited about that. 
Phillip Creek: I mean also, if you look at the -- our store count continues to go up, we opened 22 new stores. The third quarter of '23. We opened 20 new stores in the fourth quarter of last year, and then we opened 21 new stores in the first quarter of this year. So when you look at the store count overall, like [ 220, ] there's been 60-plus open in the last 9 months. So hopefully, we're focused on the right locations the right price point, the right product, we pay a lot of attention to that. And hopefully, that's paying off also. 
Operator: [Operator Instructions] Your next question comes from Jay McCanless from Wedbush. 
James McCanless: To take Alan's question a step further, assuming that you're going to see more buyers, they're going to need to be under the FHA and the VA loan limits. How are you feeling about your current community mix and where your pricing is set on those? And then especially as you go into the back half of the year and open up more communities do you feel like your product will be priced appropriately to be under those limits? 
Robert Schottenstein: Yes. I don't know if I more -- any more needs to be said. I don't know that FHA is going to continue to go up. I don't think we know enough to know that. And it may come back down. But I think that unless I'm mistaken or missing something, I think we're in very good shape relative to FHA loan limits across our markets. I'm looking at Derek. 
Derek Klutch: Yes. And Jay, all -- almost all of our Smart Series has always been under the FHA loan limit and a good portion of our other, did qualify for FHA loan limits, they just chose conventional. 
James McCanless: Okay. That's good to know. My second question. In the first quarter, the orders in the South were up only about 3% after rising by a double-digit percentage the last couple of quarters. Could you discuss the competitive dynamics in the Southern region? And are you seeing more competition on price and/or incentives in those markets? 
Robert Schottenstein: I think a lot of that is owing to weakness in the Austin market. Austin had been strong for us and Austin is probably one of the more challenged markets right now, just in terms of trying to reset with, as you know, is probably the most heated of all the markets we do business in over the last several years until it wasn't. 
 San Antonio got a little bit softer too. It's a very rate-sensitive market, heavy, heavy first-time buyer -- was 100% of our business in San Antonio is Smart Series. So -- and then a little bit of softness, not much, but just a rebid -- still up, but not up to double-digit amounts in certain of the Florida markets. 
Phillip Creek: Jay, if you look at the new contracts, again, in the first quarter of this year, we sold over 2,500 -- last year, we sold right about 2,200. The Southern region pretty much was flat, up 3% and -- the change in the Midwest really was in the first quarter of last year, the Midwest sold 828 or the northern region 828 versus 1162. And I think it was a combination that -- at that time, our hotter markets, "southern markets" really had a really good first quarter last year. The Midwest, Northern region was a little bit slow. 
 When you look at this year's first quarter, we had very strong sales in Columbus, Chicago, Minneapolis, those markets were very strong. And again, that led to the 40% increase in sales in the Northern region. Bob talked about some of the challenges, in Austin. Also, I think the Florida markets have been challenged a little bit higher inventory levels. People talk about insurance costs, and those type of things. But again, overall, the sale 2,500-plus homes in the first quarter, we feel very good about that. 
Robert Schottenstein: And let's make no mistake, the Carolinas continued to be very strong for us. As does  [indiscernible]  to some -- and for the most part, Houston. So I don't want to -- I mean, you could -- I don't want to leave anything out that might mislead. Every single one of our divisions hit their first quarter sales budget. That does not happen very often. 
James McCanless: That's a great accomplishment. I guess when you think about the Northern communities, is there a heavier reliance on build-to-order there? Is it something that we need to think about? Or are you running the north and the south [very] similar, at roughly 50% to 60% spec and that's going to drive the closing cadence that you talked to Alan about? 
Robert Schottenstein: Very similar. There's no distinction. The spec -- our approach to specs, there could be a few one-offs, but it's no different. All 17 markets were pretty much approaching it the same way. 
James McCanless: Okay. That's great. And then... 
Robert Schottenstein: And frankly, there's a number of reasons for that. One is clearly the ability to more economically, if you will, provide financing incentives, long-term mortgage locks are extraordinarily expensive, even if available, whereas a lot of the rate packages that you see advertised by us, and I suspect many of our competitors, those are only really good for homes that can close within 2 months, approximately. So by definition, fees, it's either for a spec or it doesn't work. So the importance of having spec inventory out there, combined with hopefully smartly designed financing incentives is a crucial driver of sales. 
Phillip Creek: Talking in our results, as you see, a backlog average sale price over 500, and you see a delivery price of like $475 million -- mean we're seeing 30% to 40% of our closings come from specs that sell and close in the quarter. So they were not in the backlog at the start of the quarter. And in general, our specs tend to be lower average sale price. They tend to be more in attached townhouse communities. They tend to be more in the Smart Series. 
 But again, a big thing driving our business is opening 20 new stores a quarter. Again, what is that product, what is that price point, Houston, San Antonio, does a whole lot of Smart Series. By its nature, they have a few more specs. But again, you manage that based on -- you want specs to move through the system. We don't want to have a bunch of finished specs, those type of things, and our spec levels are very comparable to where they were a year ago. We think we're doing a pretty good job managing that. 
James McCanless: Got you. Could you talk about how many homes you sold and closed in the first quarter and maybe what that number was last year? 
Phillip Creek: It's up a little bit this year, I think it was about 35% back sold and closed in the same quarter. It was a little less than that last year in the first quarter, Jay. 
James McCanless: And then the next question I have, what percentage of your buyers this quarter took some type of mortgage buy down assistance? And how did that compare maybe to fourth quarter and what you saw last year? 
Derek Klutch: This is Derek. Almost all of the buyers use some sort of below market rates. Some were just slightly below some of it deeply discounted. Generally, it's probably pretty flat to where it was last year. I don't think there's much differentiation. 
Phillip Creek: Again, Bob talked about using more specific approach by community and by buyer, some buyers need more assistance with maybe closing costs or those type of things and just a little bit of buydown. I mean every customer can be a little different. And again, our mortgage company only takes care of my home customers. We're very focused on individual customers and communities. 
James McCanless: Okay. So I guess the next couple of questions I have, I guess maybe you could -- if you've got that many people taking mortgage buydown assistance along with some incentives, I guess, what are some of the other operating levers that you pulled to get to this gross margin improvement from the fourth quarter to the first quarter. Was it geographic mix? Or what was going on there? 
Robert Schottenstein: Well, why were our margins up as much as they were -- why were they so much better than expected? 
James McCanless: Yes. 
Robert Schottenstein: One, I think, really good execution is never one thing. It's pricing by community, it's pricing by product, it's pricing to market. It takes a lot more work -- but that's what our people are paid to do, and they do really well. We're very fortunate in that regard. I think that we have some really well-located communities that have come on in the last year or so that are performing better than we even anticipated they would. 
 And I think demand, in general, demand has been a little better than we thought. We're very reluctant to cut prices just to drive volume where in some submarkets, we see our competitors promoting with either big discounts to realtors, for bringing people in or otherwise. And we -- not that we do everything perfect, but we scratch our head when we see that and go, we don't understand that. The traffic is there. Why would you do that? 
 But in some cases, there's mandates from corporate by-competitors to do things in a certain way everywhere, and they are, whether it makes sense or not. I think that the targeted approach has always worked best for us. I think our margins have really held up well over the last period of time. And I think comparatively, they'll continue to because I think we're going to keep doing what we've been doing. I don't know if I have a better answer than that. 
 Every community, we don't have 1,000 stores, if we did, it might be a lot harder. We've got 220 or so stores and across 17 markets, there's a very intense subdivision focus. If the margins can be 25.5% instead of 25%, they need to be. And we try to monitor that as needed, weekly. 
Phillip Creek: And I know I keep coming back, Jay, to the new stores, but you only get a chance to open once and you open a couple of lots, if you sell a couple of houses, then you kind of reassess where you are. Again, don't get too far ahead of yourselves. When you look at margins the last 4 quarters, we were $25.5 million in the second quarter of '23, we were 26.9% in the third quarter of '23, then we were down to 25.1% and now 27.1%. 
 So mix is always impacted. We have some divisions that have higher margins than other for different reasons. So there's always some mix and some product and where you're opening new stores. But again, we have a big focus, always have on gross margin it means so much to us. 
Robert Schottenstein: The other side of it is we're really, really -- because not all builders account for gross margins in the same way. There's nothing that you or I can do about that. But the -- we're very focused on our pretax income percentage, 17.2% for the quarter, one of the best we've ever seen. Very pleased with that. You can't get to 17% if you don't manage the gross margin line properly. 
James McCanless: Got you. Two more for me and I'll pass it on. Bob, I think you made a comment earlier about new communities performing better than expected thus far in '24 -- is that the case for both the Northern and Southern regions? 
Robert Schottenstein: I think it is, but I'm going to defer to Phil. I think he's got some of that in front of them right now. 
Phillip Creek: Yes. Yes. I mean if you look at it, at the end of the year, we had 102 in the Northern, now we have 101. We had 111 in the Southern region at the end of '23. Now we have 118. So yes, there's a few more new openings there, again, Fort Myers and Nashville -- are in the Southern region where we're opening stores, new markets and stuff. But yes, but overall, we're pleased with all the new stores with the way they're opening and what they're performing at Jay. 
James McCanless: Okay. And then last one for me. Stock repurchase. How are you feeling about that for the year? And should we expect some level of ongoing stock repurchase on a quarterly basis going forward? 
Phillip Creek: Jay, that's something we look at constantly. We'll be discussing it again with our Board at our May quarterly meeting. The last few quarters, we've been at that $25 million repurchase level. We do think it's important to have a consistent type program. We're low leverage people in general having $800 million in cash is a little more than we thought we would have. 
 So again, we would -- we'll continue looking at that. We are spending more on land, and we'll spend more on land than we did last year with more of that spend being in land development. I think we think we're in great shape from a land standpoint, as Bob said, to continue growing the business. But we will continue looking at that and we'll be discussing possibly increasing that level. 
James McCanless: And then just since you brought it up, Phil, maybe talk about what your land costs have gone up this year and what you're kind of projecting or thinking going forward in terms of land-cost inflation? 
Phillip Creek: Land costs continue to increase. There's still competition for the better A locations, which we primarily focus on. We are spending more on land than last year and anticipate to continue to do that. Today, we're developing 80% to 85% of our own communities, which is a little higher than a year ago. So it's not going up as much as it was, but roll-in costs and land development costs continue to increase. 
 But again, I mean, your location, the product price point you have, I mean the locations are key to our business. So we continue to spend a whole lot of time on that. 
Operator: And there are no further questions at this time. I will turn the call back over to Phil Creek for closing remarks. 
Phillip Creek: Thank you for joining us. Look forward to talking to you again next quarter. 
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining, and you may now disconnect your lines. Thank you.